Operator: At this time, I would like to welcome everyone to this Embla Medical Q4 and Annual Report for 2025 Conference Call. Today's call is being recorded. [Operator Instructions] I'll now turn the call over to your speakers. You may now begin.
Sveinn Sölvason: Thank you very much, operator. Good morning, and welcome to the Embla Medical conference call where we will review the fourth quarter and full year results for 2025. I'm Sveinn Solvason, President and CEO of Embla Medical. Today, also joining me here is our Chief Financial Officer, Arna Sveinsdottir; and Embla Medical's Head of Investor Relations, Klaus Sindahl. The presentation should take approximately 20 minutes, after which there will be an opportunity to ask questions during a Q&A session. If you can please go to the next slide. 2025 was a year of meaningful progress for Embla Medical with several milestones as we continue to take steps on our journey to build a company that is focused on delivering products and services for individuals with a chronic as well as acute mobility need. The need for our solutions remains as strong as ever. And once again, our team delivered with focus and purpose. I want to take the opportunity to recap some of the key highlights on this slide. In September, we completed the majority investment in Streifeneder. The investment marks a key milestone for Embla Medical positioning us as a full range provider in the prosthetics market while strengthening our presence in key markets, especially private pay markets with less developed health care systems. In addition, Streifeneder will help us expand our reach and ultimately enable us to reach more patients that need our products. Innovation remains at the heart of our progress. In 2025, we introduced new impactful solutions, including 2 new bionic knees, Navii and Icon as well as the Odyssey iQ bionic support. We're also pleased to see that Fior & Gentz was awarded its first reimbursement code in the United States last summer for their microprocessor-controlled knee joint. Another meaningful milestone I also wanted to highlight is the opening of our first clinic in Ukraine. Establishing a presence in Ukraine during a very difficult time underscores our commitment to ensuring access to high-quality mobility care. In conjunction with the opening of our Kyiv clinic, we also announced a landmark partnership with the government of Iceland to launch the Iceland Support Mobility in Ukraine initiative. This initiative is a 3-year program designed to deliver high-quality prosthetic care and rehabilitation to Ukrainian entities. Lastly, I'm also proud that Embla Medical earned a place among the world's top 500 companies pairing strong growth with environmental responsibility. This was the second consecutive year Embla Medical was highlighted as one of the world's best companies in sustainable growth. If you please turn to the next slide for an overview of the key highlights for the fourth quarter and full year. In '25, we delivered solid organic sales growth with increasing underlying profitability as well as strong cash flow. For the full year, organic sales growth was 6%, driven by strong performance in prosthetics and neuro orthotics. Reported growth was 9% and growth in local currency was 7% for 2025, including contribution from the majority investment in Streifeneder, which was completed, as earlier mentioned, in September. Sales in the fourth quarter amounted to $257 million, representing 7% organic growth. Our reported growth was 14% for the quarter, including 5 percentage points contribution from FX and 3 points from M&A. Growth in the fourth quarter was solid, driven again by the Prosthetics and Neuro Orthotics segment as well as also now Patient Care, where sales picked up in quarter 4 with a strong finish to the year. The EBITDA margin came in at 20% for the full year, on par with '24. For the fourth quarter, the EBITDA margin was 19% compared to 21% in quarter 4 of '24, and Arna will elaborate on that later. We delivered strong cash flow in the quarter and full year as well, benefiting from solid operating results and lower CapEx compared to the same period in '24. During the fourth quarter, we continued the rollout of our ForMotion brand at several patient care facilities in the U.S. and Australia and we expect our global rebranding to complete in the first quarter this year. In Patient Care, we have implemented several initiatives during last year to enhance long-term growth and profitability in our Patient Care business, and I'll add a little bit more color on that also later. I also want to highlight progress in our R&D in the fourth quarter with 2 important product launches during the quarter, Pro-Flex LP Junior by Ossur is a new prosthetic ankle and foot designed for active young users, delivering enhanced durability and waterproof performance. In our power portfolio, we have updates for our Power Knee with functional improvements, enhancing both mobility and adoption of power solutions. Lastly, we have issued new guidance for 2026 of 5% to 8% organic sales growth and an EBITDA margin of 20% to 22%. And in line with our capital structure and capital allocation policy, a new share buyback program was initiated here in the beginning of January. Please turn to the next slide. In both EMEA and APAC regions, we had strong sales growth in the fourth quarter. Sales were very strong in the EMEA region with 12% growth, while APAC delivered 9%. Americas ended, however, flat following a good third quarter. And we'll cover the dynamics in each of our reporting segments on the following slide. If you turn to the next slide, please. Starting with Prosthetics and Neuro Orthotics, we delivered 9% organic sales growth for the quarter and 10% for the full year. In EMEA, we continued to see strong momentum in the quarter with good sales growth across all major markets driven by, yes, solid contribution from recently launched innovations. In addition, we see very encouraging and strong organic contribution in the quarter from the newly acquired Streifeneder. Growth in the Americas was moderate after a strong quarter 3 and somewhat below our expectations. The weaker performance in the fourth quarter is partly explained by a strong comparison with the same period in '24. Meanwhile, we remain encouraged with the progress as we saw strong sales growth, especially in our College Park portfolio driven by the Icon knee and the new Odyssey iQ. Lastly, solid growth in APAC, driven by Australia, while partly offset by more moderate growth in the rest of Asia. In Neuro Orthotics, the business continues to track in line with expectations following the expansion into new international markets in the last 12 to 18 months. Sales growth in the fourth quarter was, yes, very solid, driven by continued growth momentum in our existing German business and supported by good uptake in new markets such as Australia and France. If you turn to the next slide, please, on Bracing. Sales in Bracing and Supports were soft in the fourth quarter and for the full year with some regional variances. Sales performance in '25 continues to be impacted by shift in market dynamics and price sensitivity causing partial loss of business in addition to an overall increasing and a very competitive environment. Embla Medical has a very good position in the key bracing markets in both the U.S. and Europe, and we expect to grow in line with market here in '26, supported by focused initiatives as well as new product launches. If we go to the next slide, please. Sales in Patient Care picked up in quarter 4 with a strong finish to the year. In EMEA, we saw strong growth return across our key markets. Meanwhile, Americas ended down in the quarter due to partly a very strong comparable quarter in '24. Despite the declining sales in Americas, we see very encouraging signs and results of the work we're doing to get our Patient Care business back on track. Lastly, we saw a strong finish to the year in APAC, driven by very solid performance in Australia. As communicated in the third quarter of 2025, our Patient Care business has, over the last few quarters, experienced lower-than-expected growth, mainly in our biggest regions, both EMEA and Americas. The performance can partly be ascribed to some softness and timing or fluctuations in patient volumes, especially in the first quarters of the year, but also these internal change initiatives, including the brand change, systems integrations and other change initiatives that have had some disruption in -- or caused some disruption in our business temporarily. We have several initiatives that are being implemented in our Patient Care business with a heavy focus on performance management to strengthen the long-term growth and profitability of this important segment. It's our clear ambition to get the Patient Care business back on track and deliver in line with the structural growth we see elsewhere in the O&P industry. With this overview of our performance for the quarter and year, I would like to now hand it over to you, Arna, to go through the financials in more detail. Arna, please.
Gudny Sveinsdottir: Yes. Thank you, Sveinn. If you can please turn to the next slide for an overview of our financials. In quarter 4, the gross profit margin was 62% compared to 63% in the comparable period 2024. The gross profit margin was positively impacted by strong sales in Prosthetics and Neuro Orthotics and efficiency gains in manufacturing, but offset by FX, tariffs and initiatives in Patient Care. For the full year, the gross profit margin was 62%, largely explained by the same items as for the quarter. OpEx grew organically 7% in the fourth quarter but excluding the initiatives in Patient Care, OpEx grew organic below sales growth, in line with continued focus on cost management on the SG&A side. Our EBITDA margin was 19% for the quarter compared to 21% in quarter 4 2024, while the margin was 20% in the full year and on par with 2024. While the EBITDA margin was positively impacted by strong sales growth and efficiency in manufacturing, it was negatively impacted by FX, tariffs and initiatives in Patient Care. The initiatives in Patient Care impacted both COGS and OpEx by approximately $2 million in the quarter and around $6 million in the full year. If you sum up the impact of the Patient Care initiatives, FX and tariffs, the total impact on EBITDA margin was around 3 percentage points in the quarter and 1.5 percentage points in the full year. I'm very pleased to see that we delivered strong net profit in the quarter, which grew 33% compared to the same period in '24. And our net profit for the full year grew 21% compared to '24. If you please turn to the next slide for the status on our cash flow and leverage. During the first quarter, CapEx was $8 million or 3% relative to sales. CapEx in 2025 returned to a normalized level around 3% to 4% following closure of facility expansion program carried out in '24 to support growth. Our free cash flow was strong during the quarter as we generated $42 million compared to $33 million for the same period last year. The strong cash flow benefited from solid operating results, positive effect from net working capital and normalized CapEx levels. For the full year '25, free cash flow amounted to $100 million or 11% of sales compared to $77 million or 9% of sales in 2024. On the balance sheet, our net interest-bearing debt to EBITDA corresponded to 2.4x at year-end and within the range of 2 to 3x. As we are within our target range, we continue with our share buyback program. And with this overview on our finances, I will hand over to Sveinn again for his closing remarks and comment around our guidance.
Sveinn Sölvason: Thank you, Arna. If you please turn to the next slide. We delivered solid organic growth in 2025, in line with our guidance as well as our Growth27 financial ambition. This is a testament to our ability to execute on our targets and priorities despite an increasingly more uncertain geopolitical environment. For 2026, we are issuing new guidance. We expect organic sales growth to be in the range of 5% to 8%. In Prosthetics and Neuro Orthotics, we anticipate continued momentum across regions, supported by solid contributions from our Bionic portfolio and recently launched innovations in addition to upcoming launches in 2026. Some positive impact from the U.S. Medicare coverage expansion is also expected to contribute to sales supported by our existing portfolio of microprocessor controlled knee solutions. These solutions will, in the future, be complemented by a more dedicated K2 solution to better serve the less mobile users in the low active K2 patient population. In Neuro Orthotics, we expect to see contributions from the ongoing rollout of our Neuro Orthotics offering into new markets, leveraging our global commercial infrastructure and our promotion footprint. In Patient Care, we expect growth to gradually improve during '26 with the aim of eventually returning to consistent sales performance in line with the market. Growth in '26 is expected to be driven by volume growth and increased efficiency or productivity, supported by the initiatives implemented across our Patient Care business in the second half of 2025. Focus will be on enhancing our long-term growth profile and profitability of the business while benefiting from the structural growth in the OP industry that we serve in recent periods. Lastly, Bracing and Supports is expected to grow approximately in line with market growth. We expect solid growth in selected key regions supported by launches of new products, but also with continued competitive pressure in selected markets. For '26, our EBITDA margin is expected to be in the range of 20% to 22%. The EBITDA margin is expected to be positively impacted by solid sales performance, a favorable product mix from increased sales of our high-end solutions, continued efficiency gains in manufacturing and increasing profitability in Patient Care and also continued cost control in our SG&A structure. At current foreign exchange rates, keeping all other factors constant, the EBITDA margin is expected to be negatively impacted by about 30 basis points in '26 when compared to '25. With this overview, our presentation is now concluded, and we would like to open the call for questions. Operator, please move to the next slide and the Q&A can begin.
Operator: [Operator Instructions] And our first question will be from Tobias Nissen from Danske Bank.
Tobias Nissen: I have a few. Let's just start out with EMEA, very strong here with 12% organic growth for the quarter and quite the acceleration from the last few quarters. So can you talk more to what's actually the driver here for this growth acceleration and any standout countries or products? And can you say if there's any, you can say, one-offs that contribute to this solid growth here? That's my first question.
Sveinn Sölvason: Tobias, thanks for your question. Yes, we've had consistent solid performance in our EMEA region across -- here in the quarter, across all business areas with the exception of bracing, which was flattish. This is a result of, yes, solid contribution, I would say, across all our major markets in the prosthetics and neuro side, where we have essentially our base business, our mechanical business across our prosthetic portfolio, both on the premium side as well as the, as you could say, the more value side with Streifeneder doing well. And we have also good development on our high-end bionic side, which drives that extra benefit on the mix side. Then there is -- we have been building our presence in -- also in Ukraine and selling more products there. If you remember, we stopped selling products to Russia a couple of years ago and Ukraine is starting to become a meaningful market for us. And then finally, on the Patient Care side, this was a quarter where we had good progress across all our European markets and are starting to see some impact of the initiatives we are doing to build a global patient care franchise. So I think that these are the highlights, Tobias.
Tobias Nissen: Okay. That makes sense. Is the Ukraine you also opened the clinic you mentioned this is perhaps a little bit early, but how do you see momentum here? Is there any one-offs related to Ukraine in the quarter?
Sveinn Sölvason: No one-offs, no as such. And this is not contributing yet. It's only cost at the moment as such, but we are starting to build the infrastructure to be able to serve what is an important market for us. We want to make sure we are there to deliver to a need for what we do well. But this is not -- there are no one-offs -- meaningful one-offs just maybe on the cost side, but nothing material. But I would say this is more something that will have meaningful impact, we believe, medium, long term.
Tobias Nissen: That makes sense. And then just on Americas, it was a bit soft here with 0% organic growth. I know you mentioned some tough comps. But with Europe benefiting from these new innovations, why do we not see this in the numbers for Americas? I know Patient Care is a bit -- also a bit soft. But what is the market growth actually in Americas? And actually what is required to get Americas back to growing again?
Sveinn Sölvason: The market in the Americas is healthy. And if we look at our reported growth in the Americas, that's a net result of our bracing business, Patient Care business and our prosthetics and neuro business. Well, starting with the bracing business, the environment in bracing in the U.S. has been tough, very competitive and some price erosion in some key categories. So we see a decline here in the fourth quarter. But going into '26, we have some -- especially some new products that will help us fight the erosion we see in some selected pockets. On the Patient Care side, that has been the main reason for our softness in the U.S. And there, we've talked about our initiative to build one business on the back of a portfolio of acquisitions, introducing a new brand, introducing new systems and processes to make sure we benefit from being a large integrated company in patient care, and that has caused some disruption. On the product side in Prosthetics and Neuro Orthotics, we are generating actually decent growth. However, a little bit below our expectation, but we're working hard on positioning us well here for 2026. So these are -- that's a little bit the big picture here. So the main kind of reason for the sluggish quarter 4 is the Patient Care side of the business.
Tobias Nissen: Okay. That makes sense. You mentioned you are finished or expect to be finished with the promotion, you can say, rebranding in Q1 in Americas. Do we have to get on the other side of this before you see Patient Care starting to return to market growth? Or it is possible to get there before this?
Sveinn Sölvason: What we are communicating is that we -- during the year, we will get back to at least market growth in Patient Care. Exact timing, I'm not going to comment on that, but we are gradually expect to be, let's say, in the mid-single-digit growth area. And it's -- maybe I'll use the opportunity to kind of refresh the context around Patient Care. I mean last 18 months have been a period where we have been taking the next step in our maturity journey as a patient care business or in our Patient Care business moving from a, you could say, a portfolio of acquired businesses with some limited integration into really building a global business. That includes the brand systems and processes such that we can gain benefit from being a real global player in patient care, and that has caused some disruption in our business, all these change initiatives. But as we get that behind us, we will grow in line -- at least in line with the market, and we're working hard on achieving that milestone.
Tobias Nissen: Just a final one for me on tariffs. What was the impact here in Q4? And what are your assumptions going into '26 here in terms of headwind?
Sveinn Sölvason: So I mean, the tariff impact here in the quarter was around $2 million and around sort of $5 million to $6 million in full year '25. And remember, sort of we didn't have a lot of tariffs in the beginning of '25. So the run -- so let's say, the full year impact for '26, keeping everything constant will be a little bit higher.
Operator: The next question will be from the line of Sam England from Berenberg.
Samuel England: Just a couple from me. So on the margin side, amongst other things, you had some impact from the Streifeneder acquisition in Q4. Can you comment on how the integration there is progressing and how the acquisition will impact margins as you head into 2026? And then the second one, on the U.S. rollout of NEURO HiTRONIC, can you provide some comments on how that's progressing after you got the new reimbursement code last quarter? And then more broadly, what your expectations are for the Neuro Orthotics business as we head into 2026?
Sveinn Sölvason: Yes. Thanks, Sam. I appreciate your questions. On the Streifeneder piece, yes, it's slightly dilutive for our margins this business. But as we progress with the integration, we expect the dilution to be marginal in '26, only 10 plus -- 10 to 20 basis points in '26-ish. But the integration is going well. We are pleased with this investment, good performance here in quarter 4, and we're sort of continuing to advance and mature our approach to how we position the overall business to be a supplier across the whole spectrum, essentially both premium and value when it comes to prosthetic components. With regard to Neuro Orthotics, great milestone in '26 that we are eligible for the code, Medicare code. And we've done a lot of groundwork here in the latter half of '25 to prepare the business for growth here in '26. So we -- this will be part of our growth story here in '26. We have not provided any specific communication with regards to the impact, but we will start to see some traction here in the first half of 2026.
Operator: The next question will be from Dominic Rose from Intron Health.
Dominic Rose: I've got 2. My first question is about the guidance. The top end of your guidance is slightly above the trend growth in the market. What would you have to see to hit that top end? And just making sure whether there's any M&A impact included within that? Question two, when could the Ukrainian market become a material growth driver? And can you help to contextualize the potential size of that market?
Sveinn Sölvason: Dominic, thanks for your questions. Yes, we've guided 5% to 8% organic growth, which is largely in line with kind of the our overall kind of growth ambition for the 5-year strategy we're executing on now. So what -- as always, when we start a new year, we built our guidance based on a set of assumptions, how we read the current trends in the business and what our plans are to drive sales growth. And what needs to happen for us to deliver in the upper end, we need another solid year in our Prosthetics and Neuro Orthotics business, similar to what we've done this year. We need to get Patient Care business delivering at least in line with market. And the earlier we get there, the better chance we have of delivering in the upper end of the range. And then we need to deliver in market in line with market growth in bracing. And this will position us in the upper end of the range. And sort of then -- yes, I hope that kind of gives a little bit of color. I mean where we do have the strongest structural growth drivers, that is in our neuro -- or our prosthetics and neuro business, where ultimately, it's about defending and growing our share in our mechanical range and driving the mix or driving more adoption of these high-end solutions. And that is what you need to follow the -- where you need to follow the progress on our ability to do that. That will determine largely where we'll end up in the range. Then on Ukraine, I'll be cautious here in terms of communicating. I think everybody knows the facts around the size of the amputee population in Ukraine. How the market will develop will depend on a lot of factors, how the development will be in the country itself and when the war will stop and how a system will develop around supporting amputees. These are all factors that will sort of that will ultimately impact how the market will develop. But I think just looking at the need there, it's a big need, and this will be a -- there's a lot of work for our industry to do as well as we can to support the amputee population with good solutions. But I'm cautious to provide any estimates to how the market will develop in terms of size.
Operator: The next question will be from Jesper Ingildsen from Carnegie.
Jesper Ingildsen: A couple of questions from my side. Just going back to the strong EMEA growth that you saw here in Q4, the 12% organic growth. As I understand, that's also helped by the way you treat acquisitions. Could you just maybe highlight how much the Streifeneder acquisition has contributed towards that growth? And then maybe just broadly in terms of '26, is anything to call out here in terms of basing, both in terms of top line growth, but also from a margin perspective. So I mean, obviously, you're calling out gradual improvement in Patient Care, but also bracing and support getting back on track to market growth. Like what is the timing there? And also from a cost perspective, anything to call out that could impact the margin?
Sveinn Sölvason: Yes. Thanks, Jesper. I mean on the organic growth, yes, the way we include acquisitions in organic growth is basically we will just compare to the previous year, what Streifeneder did in quarter 4 last year and because that is essentially the -- ultimately the organic growth in the business in the portfolio that we own for the quarter. So this had a -- yes, I would say, a slight positive impact on the EMEA growth, but it's not a deciding factor. What the main theme there is, again, just solid performance across our core portfolio in Prosthetics and Neuro Orthotics as well as just our Patient Care business delivering a solid quarter. On your question with regards to bracing, yes, we -- our goal is to deliver bracing growth in line with market here -- here in the year. And like -- I mean, the macro picture in bracing is unchanged. There is pricing pressure, especially in the U.S. market, partly reimbursement related. But it's important to keep in mind that still these products that -- which account for the vast majority of our portfolio in bracing are fundamental products and standard of care in each and every major health care system. What will be different for us here in '26 versus '25 is that we have some important product launches in big categories that we expect to contribute and help us fight, let's say, the erosion we see still in some selected pockets. So that is -- that is where we are in bracing. It's a competitive marketplace, but our position is strong in the key markets we operate in bracing, and it's our goal to deliver at least in line with market.
Operator: [Operator Instructions] The next question will be from Martin Brenoe from -- he just jumped up. So our next question will be from Yiwei Zhou from SEB.
Yiwei Zhou: It's Yiwei from SEB. And also a couple of questions from my side. Firstly, maybe a question to Arna. You mentioned here the restructuring initiatives for Patient Care. And what -- when do you expect this to be complete during 2026?
Gudny Sveinsdottir: So restructuring initiatives in Patient Care have more or less been done. We are now starting to focus on the performance management and the initiatives we are implementing and make them -- make sure that we deliver in 2026. As we said, it will gradually impact the year, but we do not expect any material initiatives in 2026 affecting our margins from Patient Care.
Yiwei Zhou: Okay. Very clear. And then also a question on the EBITDA margin guidance. The range is a bit wider than usual for '26. And apart from the continued external headwinds, is there any internal variables you're seeing sort of uncertainties?
Sveinn Sölvason: No. Well, I think it's fair to say that external environment is part of the overall picture, especially the tariff. Sorry, could you please mute your lines.
Yiwei Zhou: Yes. Okay.
Sveinn Sölvason: Yes, I think that is -- I think it's mainly because of just the external environment that we're operating in that we go in with a little bit broader range. I think it's important to keep in mind the big picture in margin. I mean we guided in the beginning of '25, we guided for 20% to 21% EBITDA margin. And kind of the main -- then always things change as we get into the year. Some things are better than what we anticipated, some things are not as good as we anticipated. Some -- I mean, we did anticipate that we would take a lot of costs through our P&L because of the work we're doing in Patient Care. That did not surprise us, even though it's maybe been a little bit higher than what we anticipated. But what we did not anticipate in the beginning of the year where there's the FX impact and also the tariffs. These are meaningful topics. And I think it's important to also understand that despite these, you could say, the tariffs that I mentioned earlier, which is probably $5 million to $6 million on a full year basis, the FX impact and the cost we pushed through in relation to the brand and system changes in patient care, we're growing or increasing our margins year-over-year. And I think that is a key message. And that also goes back to, again, our overall hypothesis in terms of what our financial ambitions are within that Growth '27 framework is to grow our top line faster than we did pre-COVID. And we've delivered consistently on that here in the first 3 years of this 5-year strategy period as well as also delivering on the margin piece. So yes, we're going into 2026 with a little bit broader range. And you could say perhaps the volatility on the tariff side and on the FX side is a big part of that going in a little bit broader. But our intention still remains the same to continue to grow our margin.
Yiwei Zhou: Okay. But I just want to understand what needs to happen to get to the 22% EBITDA margin. I mean there's no sign that the FX headwind will be reversed and then the tariff is still there. Could you maybe comment also.
Sveinn Sölvason: Yes. That will ultimately depends on our ability to grow the business and our ability to move forward, specifically our Patient Care plans to benefit from running a global platform around how we deliver mobility solutions, how we source the materials we use in our fabrication processes and how we're able to create an environment that is better for our clinical workforce that is every day doing an incredible job in seeing and serving patients. So all of the our efforts in Patient Care are essentially aimed at enabling more productivity such that we're able to see more patients and deliver more solutions. So this is the -- probably the biggest single topic with regards to our margin story this year, our ability to make progress on our Patient Care plans.
Yiwei Zhou: Great. Very clear. And then the last question, maybe challenge a bit on the long-term growth target. I mean, initially, you provided was 5% to 7% organic growth at the latest Capital Market Day. And you recently sort of indicate you see the upside 5% to 8%, which is also what you are guiding for '26. I mean looking back '24 and '25, both you delivered only 6%, close to lower end of this range. I mean what -- I mean what make you confident to accelerate the growth in the coming years? I just want to get a feeling, I mean, how realistic is this 8% at the high end of the guidance range?
Sveinn Sölvason: Yes. That's a fair question, Yiwei. And if you look at the -- going back to this Growth '27 period that we're now in, we delivered 9% in '23, which was though partly impacted by an inflationary environment that is different to what we see now, of course, 6% in '24 and then now again 6% in '25. And I think ultimately, our organic growth will be a result of our performance in -- or the weighted average of the growth in the 3 segments. What we've delivered here, especially in our legacy product business, Prosthetics and Neuro Orthotics is that we've delivered a very clear step-up in growth compared to historic. And that is again driven by just solid performance in our breadth and across the mechanical business and good execution on the Bionics side that drives that mix growth. Regarding our ability to deliver in the upper end of this 5% to 8% range, again, it will require still solid execution in Prosthetics and Neuro Orthotics and our ability to deliver more in line with the market on the patient care side. These are the biggest topics. Yes, bracing will have to be there as well, but that is a smaller part of our portfolio, around 14% of our overall sales, but still also to push into the upper end of the range, we need to do better than what we did in '25 in bracing.
Operator: Our next question will be from the line of Martin Brenoe from Nordea.
Martin Brenoe: Just have 3 quite simple questions. First of all, you mentioned Australia had quite decent growth, strong growth there. Just wondering whether there is any special ordering or any phasing we should be aware of? And to broaden that a little bit, is there any phasing we should be aware of when we are doing our model for Q1 in terms of any growth that could have happened in Q1 that was pulled a bit forward to Q4 2025? That's the first question.
Sveinn Sölvason: Yes, Martin, thanks for your question. No, not as such. I mean we just had a we have a high-quality business in a favorable market in Australia, and we did exceptionally well across both our product and Patient Care business here in '25, and we are also in a position to have a good year in '26 in Australia. So no one-offs or anything like that here in the quarter.
Martin Brenoe: That sounds very promising. And then my second question is on Fior & Gentz. Maybe just a quick status on -- if you look at that compared to your overall prosthetics business, how much does that account for? And how much in terms of the group growth do you expect it to contribute with? If you can provide just some color on Fior & Gentz contribution would be very helpful.
Sveinn Sölvason: Martin, what I'll say there is I'll just point back to the announcement we did when we acquired the business in terms of its relative size. It is at that point in time, the business was roughly yes, $25-ish million and growing and the historical growth was around 14% organic growth. And what we've communicated since then is that we continue to deliver growth around that range. Now when it comes to contribution to overall growth, we -- we are, for example, starting from a low base in the U.S. And that will -- as we are able to gain some traction on especially the new reimbursement code for the knee brace, the Bionic knee brace that can and will impact our growth. So I hope this gives you a little bit of color. We don't report specifically on Fior & Gentz, but it's by all means delivering in line with our plans and also as we roll out to new markets and leverage our commercial infrastructure in other regions where there is good reimbursement for these types of solutions.
Martin Brenoe: That's very clear. Sveinn, just a final question for me, and then I'll jump back in the line. It says in the report that you have in the future will launch a dedicated K2 MPK solution. Just wondering if you can specify in the future a little bit more to an analyst like me.
Sveinn Sölvason: Thanks, Martin. I think there's no secret that we are working hard on complementing our strong Bionic grades with a product that is, you could say, specifically designed for low-active amputees. We do have a strong range. We have obviously the Navii, the Rheo and also the Icon from College Park. So we have a strong range that fits under the new reimbursement scheme also in the United States, and we believe that we are capturing our fair share of the uptake in the U.S. But we are working hard on a new low-active knee. It will not come to the market this year. But we will -- as we get closer, we will provide more guidance on time line.
Operator: [Operator Instructions] As there appears to be no more questions in the queue, I'll hand it back to the speakers for any closing remarks.
Sveinn Sölvason: Thank you very much, operator. Thank you, everyone, for dialing in today and listening and participating in our conference call. I encourage you to reach out to our Investor Relations team if you have any further questions. And with that, I'll close the call and wish you all a great day. Thank you very much.